Operator: Good morning, everyone, and warm welcome to Wienerberger's Half Year 2025 Results Update. Thank you for taking the time to join us today. My name is Therese Jandér, and I'm pleased to be hosting this call today from London. And I'm joined here by Mr. Heimo Scheuch, our CEO; and our CFO, Dagmar Steinert. We will begin with a brief presentation and of the key developments and the financials for the first half year. And afterwards, we will open the line for questions. So with that, let me hand over to Mr. Scheuch.
Heimo Scheuch: Thank you very much, and also a wonderful morning from my side. We have indeed a very satisfactory set of results for the first half year of 2025 in, I would call it, rather challenging market environment, we were able to increase our turnover by 6% and this shows the resilience of our business model, which is obviously not based only on new residential housing, but more and more on renovation and infrastructure. So these 2 parts have contributed throughout our geographies very nicely to this growth in revenues. On the EBITDA front, we are in line with our expectations coming in a little higher than EUR 380 million for the first half. And this shows here again, we were working hard on our cost structures and efficiency improvements that contributed nicely to this robust margins that we were able to achieve. On another note, obviously, very satisfactory. We have improved our profit after tax about EUR 100 million. So we're a little above EUR 100 million when you look at the profit after tax for the first half. And the earnings per share have risen to about EUR 1 per share. So also here very, very satisfactory performance. But let's look a little bit into the different geographies. You remember that we said at the beginning of the year that we expect interest rate cuts. We expect a better underlying market development due to this fact. Unfortunately, we have to draw you aware of obviously, that in the North American market, especially in the U.S., there were no such changes in interest rates. So we have still very high mortgage rates that are above 7% in the U.S., which are harming the new residential housing market. So we have seen here quite a substantial backdraw or drop in activity in the new residential housing segment affecting our deliveries. First half of the year in the U.S. has also seen bad weather conditions. So here, 2 aspects that have, to some extent, affected our deliveries and the volumes that are sold in the U.S. market. On the other hand, the infrastructure was okay. So the level of infrastructure activity was still good. We have made also a nice increase when it comes to volumes of pipes at the south of the U.S. On the pricing side, both aspects, meaning on the brick side under pressure due obviously the fact that the market is down and on the piping side, the prices are down because raising prices, meaning regular prices, but also margins are still on a very satisfactory level in the U.S. Let's move a little bit to Europe. First, our preferred country, the U.K. and Ireland. Ireland have done well this first 6 months of the year. Underlying the trends are positive. They are not as strong as originally anticipated. The pickup of new residential housing, but it is a slight pickup and a positive development that we see in both geographies. Therefore, a very satisfactory performance of Wienerberger, especially in Ireland when it comes to pipes infrastructure. We have taken over also a competitor and integrated it already successfully in our operations. So it was a nice step ahead, clearly bolt-on transaction, very satisfactory executed by our management. And on the brick side in the U.K., a very sort of strong trend when it comes to sales. So we have improved again our performance here with good trends. And if I look at our competition locally, companies listed here, we have quite a substantial difference when it comes to margins. Wienerberger margins are substantially higher for us, our 2 colleagues listed on the stock exchange here in the U.K. Also, the infrastructure business of Wienerberger in the U.K. has done well. So we have improved our performance again in this segment. Continental Europe, a very different picture when you look at different countries and geographies. Let's start in the North. North has been rather stable in infrastructure and in housing, no major sort of differences to last year. Moving down further south, we have seen good trends in the new residential housing development in the Netherlands, so positive trend there when it comes to our brick operations. Also the piping operations have done well due to the fact of the integration of Grain Plastics that has been acquired last year. So Netherlands, we see that this is now a country that moves in a different way, positively speaking, when it comes to new residential housing infrastructure and renovation. Also, Belgium is now sort of stabilizing on the level, and we see slight improvements there, especially in renovation and then hopefully also new residential housing a little later this year, but the trends are encouraging. The French market, very important for us, and we are progressing very positively with the integration of Terreal. We have now sort of seen a very good performance of the French roofing business within Wienerberger, good contribution EBITDA-wise, profit margins are also very satisfactory. Market has somehow stabilized. We see also better trends now in new residential housing in France. So here, I would say the market has bottomed out and will probably a little bit improve in the second half of the year. If we then move to, I would call it, the Germanic countries, Germany and Austria, it's more problematic. These 2 countries are really not turning the corner yet when it comes to especially new residential housing. If it's multi-residential housing or it's individual single- family housing, it's still on a very weak level in both countries. Has to do with financing, has to do with affordability, has to do with the banks granting loans, et cetera. So this is something which has affected us in the first half of the year, especially Germany is not yet there where we want it to be. And I don't think that this will change during this year. So from a perspective of volumes and prices, Germany is still sort of spot where we need to work hard in order to improve our efficiencies. And I don't see anything coming through from the incentives of the government that I've discussed. And there's a lot of noise out of Berlin, but there's nothing really materializing yet. So this is the German-speaking countries. When we move East, East is from Poland to Czech Republic, Hungary, Slovakia. Here, we see some good encouraging trends in the new residential housing front. So from a very low level, a little gradual improve, but it helps. We gained some momentum there as well. So I think here, mixed with the efficiency improvement, mixed with our sort of focus on production and sales and improvement of the solution concept, we have gained a little bit of momentum here in this region. You see also that in certain areas of Eastern Europe, and this has to do with obviously economical situations that certain cities are doing better than others and also regions are doing better than others. And obviously, this will continue throughout this year. This is in Romania, for example, this is also in the Southeastern part of Europe where we see good trends. But generally speaking, let me say this also if and in the event we see more of a stabilization piece talks evolving in Ukraine, this region will strongly then come back and develop much better than we see it today. So from my perspective, I think here, we have seen an underlying market trend, as I called it at the beginning, as challenging. This will remain so for the rest of the year. We'll come to the outlook a little later. But I think when you look at Wienerberger today with our exposure and the resilience of our business model, we show clearly that we can handle such situations. On the acquisition front, we have again completed some very important acquisitions. I spoke about Ireland with MFP that's a local producer of pipes that has ceased production. We've integrated it in our own network in the U.K. and in Ireland and have successfully executed it. And on another note, we have obviously taken over 100% of the solar supplier in France, GSI, where we have now 100%. So we are continuing this growth path. I do see a lot of opportunities right now because it's more, I would call it, a buyers market right now in this area where a lot of certain volatility still remains. And for Wienerberger, a great opportunity to increase our footprint around especially Europe and also North America. With this note, I hand over to Dagmar, and she will run you through quickly through the different financials. Thank you.
Dagmar Steinert: Thank you, Heimo. Good morning from my side as well. So let's dig a little bit deeper into the numbers and our solid performance in the first half year of 2025. Our group revenues increased by 6% year-on-year, reaching EUR 2.3 billion. And this growth was driven by volume improvements in Ceramics Europe and contributions from our recent acquisitions. Our operating EBITDA came in at EUR 383 million. That's 4% lower than last year. But of course, this decline reflects the burden of cost inflation, but I would like to draw your attention on our margin, which is very robust with 16.3% and especially if you look at the difficult macroeconomic environment. Looking a little bit deeper into our volume growth of 2% for the whole group, that is clearly driven by European ceramics development. And regionally, Europe delivered plus 3%. Heimo already elaborated about the market and the increased demand in the U.K., Netherlands and of course, Eastern Europe. In Western Europe, our main driver was the roofing business and in Eastern Europe, the wall business. North America, however, a difficult market for us at the moment, saw a decline of 4%, and that was mainly due to weaker brick volumes. Pipe volumes remained strong during the period. And I just would like to somehow repeat, this volume development reflects really our strategic focus on renovation and infrastructure. Now as you can see on our EBITDA -- on our revenue bridge -- sorry, I missed it on our EBITDA bridge EUR 133 million increase in revenue is driven by a combination of organic growth and of course, of our M&A business. And organic growth contributed EUR 30 million plus that was mainly supported by volume gains in to repeat Ceramics Europe, but it was partly offset by pricing, especially in Germany and North America, both difficult markets for us at the moment. Scope effects added EUR 112 million, and that is primarily from the integration of Terreal. And again, this bridge illustrates our strength of our M&A strategy and the value of our diverse portfolio. Now coming to our operating EBITDA bridge. And there, I would like to go a little bit deeper into our organic growth of minus 7%, what is impacted by the cost inflation, which was higher than originally expected, especially in rising costs of energy and personnel expenses. The currency effect had a modest minus EUR 2 million impact that was mostly from the weak U.S. dollar, and that is increasing month by month. Therefore, I'm sure we will see a higher negative impact of that in the full year. From our acquisitions, we got another EUR 30 million plus compared with previous year. So that's quite nice performance. If you look a little bit deeper into our cost inflation, I already mentioned energy is up 15% year-on-year, and that was driven by global price trends and regional volatility. In some countries, we even saw an increase in energy by 30% or even more. Our personnel costs, which amount for a very high portion of our overall cost increased by plus 5%. And that is reflecting, of course, wage adjustments and inflation-linked contracts and so on. And that is a little bit higher than we originally expected. On the raw material side, it's a little bit a mixed picture. For Ceramics, we saw an increase of plus 3%, while raw materials for the pipe business for the half year remained flat. You might remember in the first quarter, we still had there a slightly increase. And in the second quarter, we saw a decrease. To a certain extent, of course, we managed to give it -- to pass it through these cost increases. But of course, we have ourselves given targets. We have our self-help measures, and we have a very, very strict cost discipline. Let me now look at the performance across our regions. So starting with Western Europe, we saw a strong 11% increase in revenues and revenues reached for the half year, EUR 1.4 billion. Operating EBITDA rose plus 12% to EUR 205 million and showing a margin of 14.9%. This growth was driven by higher volumes in renovation-focused products and roofing, of course, and the contribution from Terreal, which continues to integrate well. In Europe East, revenues grew plus 3%, but our EBITDA declined 8% to EUR 1.3 million, but still showing a margin of 17.3%. We have seen in Eastern Europe quite a high cost inflation, particularly in energy and personnel, which we see over the whole group, but there, it was a little bit stronger. North America faced the most pressure with revenues down by minus 6% and our EBITDA came in at EUR 75 million, which is, of course, significant below previous year. But as well here, I would like to draw your attention to our robust margin of 19.9%, and that's a very good level. As already mentioned, in North America, we've seen severe weather conditions. And of course, that has impacted construction activity and the overall negative market environment. Overall, these results reflect our strength of our diversified regional portfolio. Turning now to our free cash flow. Free cash flow for the first half year was minus EUR 51 million, and that's in line with prior year. That, of course, reflects our typical seasonality of our business, and we've seen a strong second quarter contribution of EUR 124 million. The main driver for the negative figure, of course, is our seasonality in building up working capital. And there, we spent in the first half EUR 244 million. In the previous year, it has been EUR 230 million, a little bit lower, but we started with a lower level of inventories in the year 2025. Let's now turn to our balance sheet. We have a very solid balance sheet, as you can see in our KPIs. We see a seasonal increase in our net debt. That's absolutely normal to EUR 2 billion. That's up EUR 250 million roughly compared with year-end. This increase is driven by working capital buildup and of course, our dividend payment where we paid out, including our share buyback, EUR 136 million to our shareholders. Working capital rose to EUR 1.3 billion and reflects, of course, our higher inventory levels and trade receivables. Growth CapEx was EUR 49 million, and our M&A spend was EUR 24 million. Our net debt-to-EBITDA ratio remains within a comfortable range, and we continue to maintain strong access to liquidity. So with that, I would like to come slightly to our second quarter results. There, you see a decline in revenues, but it's more or less on last year's level, while our operating EBITDA fell to EUR 253 million. And that reflects just somehow the seasonality and different cost inflation and of course, the seasonality and weak market development compared in the second -- in the first quarter with the second quarter and -- but we feel very confident for our second half year that we will remain with a good performance with a solid margin and that all will be underlined, underbuilt by a strong cost cutting measures and of course, a better strong development in renovating, roofing business, what we've seen in the second quarter. And with that, I would like to hand over for the executive summary again to Heimo.
Heimo Scheuch: Thank you, Dagmar. From what you have heard from Dagmar, dear colleagues, you see that from a perspective of balance sheet, the financials we're very solid and robust, and this will sort of continue to be the case for the second half year as well. I mentioned at the beginning that obviously, the markets show a certain positive trend in certain areas of Europe. This will continue. We feel that we see that also in the summer months. Also from a pricing perspective, we have seen in the second quarter that we are turning the corner here on certain things when you look at the overall pricing in the different product groups compared to last year. So the comparables are now putting in the right direction. Cost inflation was a little higher than originally expected. That has to do with labor cost increases that have been negotiated with the unions and also with energy. Dagmar has referred to higher energy costs, especially in Eastern Europe. Keep in mind that in certain countries, we cannot hedge, and therefore, we have been also exposed to this. So these are things that obviously were affecting our results in the first half, but they will ease out in the second half. So we are confident when we look at our planning for the rest of the year. that we will considering our local currency, achieve this sort of more or less the EUR 800 million. So that's something which we head for and we keep our guidance where it is. We work hard on the business, the cost efficiencies. The strategic growth through M&A will continue. We will work on good sort of deals in the pipeline, work on them, and you will see us move on one or other target even this year. So this is, I think, in a nutshell, what it is as such. As I resume and I want to make this very clear, when we look at the beginning of the year, we were certainly like all of us more positive about potential interest rate cuts. We were more positive about underlying market trends when it comes to new residential housing. We had to see that these didn't materialize, especially when you look in North America and in certain parts of Europe. But -- and that's the strength of our business model and how we manage the business, we will still come close to our EUR 800 million target, considering these different developments from the originally planned ones. So again, I think a strong message from us as a company with respect to our ongoing business. So if you have any questions, we're obviously happy to take them and available for you any time. I hand over to the operator.
Operator: [Operator Instructions] And with the first question coming from the line of Markus Remis from ODDO BHF.
Markus Remis: Thank you for the presentation. I would like to start with a question related to the EBITDA margin that you gave as an indication upon the Q1 release is 17.5%. And on the same matter, you were back then guiding for growth CapEx, EUR 150 million, maintenance, EUR 140 million. So can you confirm that these numbers are still intact?
Dagmar Steinert: Yes. Yes, we can confirm that these numbers are still intact.
Markus Remis: Okay. Then I would turn to the topic of cost inflation and maybe to get a better understanding where the deviation compared to your initial expectations when it comes to energy and personnel cost comes from. If you could maybe provide a bit more granularity on the business lines and on the regions. You mentioned Eastern Europe, but if I'm not mistaken, those parts that are unhedged are rather minor compared to those where you are able to buy forward. So more granularity would be appreciated. And especially then on energy, if you could shed some light on the 2026 forward level. So maybe an initial glance on your forward buying, what it means in terms of year-on-year cost development?
Heimo Scheuch: On the energy front, you have seen obviously a development of higher energy, especially in electricity also. In Europe. You remember and you know well that we are not always 100% hedged throughout the whole business. So obviously, when you take the unhedged part, then it affects us on this unhedged part, the price increases. You also appreciate that when we talk about our buying forward strategy, obviously, we have bought forward for '25 and '26 already at higher prices. So this is normal at this development. What we see from a company perspective that the prices are coming down when we now look in the future by '27 or so that here we have substantial decreases again. So I would say that from an energy perspective, the highest price level that the group will see is '25, '26. That's where we have to cope with those. You're right that the unhedged parts that we -- where we are not able to buy forward in Eastern Europe are limited. However, keep in mind, I mean, Bulgaria, Serbia and some other parts in Romania where we cannot do this, they affect also the result. And immediately when it comes in full effect, then it has quite an impact. So couple of million that's always the case then Wienerberger is hit with this. But it's nothing to worry about. And as I said, we will work it off on the price side as well, but it will take a little longer than expected. So that would be my sort of contribution to your question on the energy front. The labor one, yes, we had these sort of issues meaning labor costs are up. The tariffs and the discussions are obviously not always at the end of the year and then for the next year, starting in January 1, so they are delayed sometimes and they obviously come a little later. So this time, we had some of these in Eastern Europe, where we have substantial rises in salaries for the workforce. But that's normal also in this circumstances. And as I said, these are volatile times where we have to deal with those things. But I think generally speaking, we handle this pretty effectively and pragmatically.
Markus Remis: Can you maybe give the direction of the cost inflation that you expect for the second half? So that is 4.5% for H1 would be like the direction...
Dagmar Steinert: Well, if you look at the main drivers, personnel and energy costs, we expect it to stay on a high level, and we won't see there a big relief. But of course, we are working against it with cost measurements and other cost savings to cover that as well as, of course, as we expect one or the other gain on the pricing side.
Markus Remis: All right. That's already prelude to my last question in terms of cost cutting, can you kind of detail out where you're going to step up the savings measures? Does it also kind of comprise some capacity adjustments now thinking about those markets like Germany where still particular weakness?
Heimo Scheuch: Yes. Obviously, I think the major -- as Dagmar and myself have mentioned, the major attention point in Europe is certainly the Germanic part and Germany plays an important role there. But obviously, we review this currently, and there will be some sort of changes there.
Operator: The next question comes from the line of Ephrem Ravi from Citigroup.
Ephrem Ravi: Can you hear me now?
Heimo Scheuch: Yes.
Ephrem Ravi: Just a couple of questions. Firstly, on the personnel cost measures that you mentioned, can you give some more color in terms of -- are you looking at increasing volume and spreading that over a wider volume base? Is that how you are planning to reduce your kind of cost impact from personnel costs? Or are there kind of headcount reductions or contract reductions kind of that are planned? And then on the products themselves, from the notes, it looks like kind of pipes have had a fairly strong growth while -- or stable growth while roofs and roofs where most of the delta was in terms of positive and most of the negative like-for-like delta was in facades. Is that sort of a fair characterization for the group as a whole rather than just by geography?
Heimo Scheuch: Yes, that's [indiscernible] obviously, but you're absolutely right, all products that are exposed to new residential housing and especially when you talk now about facing in North America, where we have only facing bricks that are exposed to new residential housing, obviously, volume-wise, they are down. And a positive trend in the Netherlands and in the U.K. cannot compensate, for example, the drop of volume in the U.S. because the market as such and the volumes are that high. So this is a fair conclusion that you draw. Keep in mind also that clay blocks, that's our Continental European business, clay blocks for new residential housing, they actually go with a very high percentage point, meaning about 80% or above of their sales goes into new residential housing. And again, here, we have seen in certain countries lower activity. But as I said also, we see some brighter spots in Eastern Europe where we grow currently. So this is from a perspective of products and geographies, this is linked. So from this new residential housing market perspective, this is our exposure. On the infrastructure perspective, pipes, as you correctly pointed out more resilience. That's what Dagmar and myself mentioned also when it comes to volumes and also pricing. The same goes for the roof, where we have seen very good price trends also and from a sales perspective, also a very good one because exposed with about 60% of our sales in roof go to renovation. So this is, as I said, from our perspective, how the group has changed over the last years has proven to be the right way forward to make us more resilient in times when housing is still sluggish or as we have currently a certain weakness in the North American market. Yes, I come back to your first question. Sorry about that. Thank you. That obviously, any measures that we do will include also review of headcounts and also addressing this by measures that we are currently implementing. So you will see some adjustments.
Operator: We have the next question coming from the line of Ethan Cunningham from [indiscernible] Investment Research.
Unidentified Analyst: So your guidance of around EUR 800 million for the EBITDA implies around EUR 30 million or EUR 40 million uplift in H2 versus H1. What are the key drivers of this uplift? Is it sequential volume recovery? Or is it cost improvement or a mixture of both?
Heimo Scheuch: I think you need to see it as a mixture of both, as I addressed earlier, I see some positive developments in some markets that should continue into the second half of the year. The measures that we took in the first half of the year will play out nicely in the second half. And from a cost base, we will have a better cost base in the second half of the year. So this is, I think, the things that we see. As I said, from a pricing perspective, also to have a little bit of a positive trend that we see over the summer going into the second half will help us here.
Unidentified Analyst: Okay. And can you update us on the restocking and destocking trends and any of the CO2 sales? And any other accounting items that might affect your recurring cash generation for the full year '25.
Heimo Scheuch: I don't see any right now.
Dagmar Steinert: No, I don't see any as well.
Unidentified Analyst: Okay. And it looks like you couldn't fully offset the cost inflation for the price increases in '24 and '25. When do you expect the cost inflation pressure to ease? And in 2026, how do you see the planned price increases versus the cost inflation?
Heimo Scheuch: '26 is too early to tell. We will see, as I said, from an energy perspective, and that was the major point. We referred to that the highest prices we will see this year and next year on the energy front. So we will manage with more efficiencies, better running rates and cost measurements to tackle this issue. But I think from our perspective, we have this well under control.
Unidentified Analyst: Okay. And just finally, what full year scope and FX impact should we be expecting at the EBITDA level? And how much will this come from cost cutting?
Dagmar Steinert: Well, our FX effect on EBITDA level, what we show in our numbers, that's from translation, not transaction. And of course, it's mainly the weak U.S. dollar. It has been minus EUR 2 million overall in the first half year. It was more or less nothing in the first quarter. So the number is increasing now month by month. And I personally expect a higher single-digit million number for the full year. Well, scope, what we show now is from -- mainly from Terreal, our acquisition in 2024 and the impact from our acquisitions now in 2025 will not be that big as Terreal.
Heimo Scheuch: Basically, to answer your question, scope is done in the first half. Yes.
Dagmar Steinert: Yes.
Operator: The next question comes from the line of Grigor Koppensteiner from Raiffeisen Bank International.
Unidentified Analyst: I have only one question left as the other one's have already been clarified. Also about the U.S., the latest macroeconomic data points suggest that the long-awaited interest cuts could now be underway. And my question is, when do you expect to see here a positive impact on your North American business? And what segment could there be benefiting first?
Heimo Scheuch: The segment there will be the facing brick segment our brick operations in North America. So this is clearly the answer to your second part of the question. The first one is a little bit more complex. First of all, the interest rate cut must be significant to really move the needle. Why? Because 0.5 percentage point or a couple of sort of minor movements don't help. We have a rather high mortgage interest rates above 7%. It needs to come down below 6% to really move the needle. So this is something which I -- from my experience, I can tell you that. Secondly, if we have some -- and it looks, as you correctly pointed out, it looks like it that in September, the Fed will move a little bit the interest rates down. But if it's only a small one, as I said, then it would not immediately affect the real estate market, first of all. If it moves down, it will take also some time to get settled. So really major input in '25, I don't see it coming. I think this is then more for '26. I hope I have addressed your question.
Operator: [Operator Instructions] There are no more questions at this time. I would now like to turn the conference back over to Therese Jander for any closing remarks.
Therese Oden Jander: Thank you very much, and thank you, everyone, for joining us and for all your questions today. We truly appreciate your interest and your engagement with us, and we look forward to stay in close contact as usual. We would also hope to welcome you back to our call next results call in November, November 13 for our quarter 3 results call. And until then, take good care and goodbye from all of us here at Lindberck.
Heimo Scheuch: Thank you.
Dagmar Steinert: Thank you.